Operator: Good afternoon, ladies and gentlemen, and welcome to the Evolution Petroleum Third Quarter Fiscal 2021 Earnings Release Event. [Operator Instructions] 
 It is now my pleasure to turn the floor over to your host, Ryan Stash. Sir, the floor is yours. 
Ryan Stash: Thank you. Good afternoon, everyone, and welcome to Evolution Petroleum's earnings call for our third quarter fiscal year 2021. Today, we will discuss operating and financial results for the quarter. Joining us for the call are Jason Brown, President and Chief Executive Officer; and myself, Ryan Stash, Chief Financial Officer for Evolution Petroleum. If you wish to listen to a replay of today's call, it will be available shortly by going to the company's website or via recorded replay until August 11, 2021. 
 And please note that any statements and information provided today are time-sensitive and may not be accurate at a later date. Our discussion today will contain forward-looking statements of management's beliefs and assumptions based on currently available information. These forward-looking statements are subject to risks and uncertainties that are listed and described in our filings with the SEC. Actual results may differ materially from those expected. 
 Since detailed numbers are readily available to everyone in yesterday's news release, this call will primarily focus on key results of recent acquisition and how that affects Evolution, and our typical update on operations and on plans for the remainder of fiscal 2021 and including capital spending. 
 I would now like to turn the call over to our President and Chief Executive Officer, Jason Brown. 
Jason Brown: Thank you, Ryan. Good morning, everyone, and thanks for joining us today on Evolution's Third Quarter Fiscal 2021 Earnings Call. Thank you for your continued support of and interest in our company. I'd like to start the call by thanking our team for their hard work in the past few months. In closing, our recent transaction in the Barnett Shale we're extremely excited about this acquisition, what it does for our company and shareholders moving forward. The acquisition further diversifies our asset portfolio, which we feel reduces volatility risk, it also improves the sustainability in support of our dividend by significantly adding to our overall production and reserves. 
 This acquisition represents a meaningful step in growing our business without requiring additional personnel or any material incremental G&A expenses. While the supply and demand imbalance remains and pricing is still volatile, we see many positives moving forward and believe that this is an important step in gaining both size and scale to create long-term value for our shareholders. 
 Turning to Delhi and Hamilton Dome. We had an active quarter as we saw fieldwork pickup due to uptick in commodity prices. Our operating partner, Denbury, has returned to conformance projects in Delhi after approximately 18 months of limited investments, redeploying CapEx spending after emergence from financial restructuring through bankruptcy last fall. Although total barrels decreased slightly during the quarter at Delhi, this was primarily due to the extreme weather that was experienced in the field in February. 
 Purchased CO2 volumes were up and the operator we completed several wells. It will take a while to recover the reservoir pressure and production loss from the following -- loss following the CO2 new purchase pipeline failure last year, but we are starting to trend in the right direction and are very pleased with the attention and capital support that Delhi is getting in 2021. 
 In Hamilton Dome, we saw an increase in production, primarily from the reactivation of wells that were shut in last quarter. Differentials have been relatively stable and resulted in Ham Dome returning to profitability. And contributing to our overall cash flows. We continue to see positive earnings this quarter and have had revenues of $7.6 million, a 32% increase from $5.8 million in Q2. I'm also very pleased to announce our 30th consecutive quarter issuing a cash dividend. 
 In addition, we subsequently announced that we will increase our dividend by 67% to $0.05 per share for the fourth quarter. Our shareholders know how important it is that we return value to them, and we are thrilled to significantly raise the dividend even after having raised it last quarter. We continue to concentrate on cash flow and total shareholder return. We have historically provided an attractive cash return to shareholders. This quarter marked $71 million in cash dividends or $2.21 per share since the inception of the dividend program in December of 2013. We are focused on delivering shareholder value and continue to look for acquisition opportunities that will provide cash flow support of our dividend. 
 With that, I'll now turn the call back over to Ryan to run through some of the financial highlights, then I'll wrap up the call by speaking briefly about our strategy and outlook of the M&A landscape. Ryan? 
Ryan Stash: Thanks, Jason. I'll now share some more details regarding our financial results for the third quarter ended March 31, 2021. Please refer to our press release from yesterday afternoon for additional information and details for the full fiscal third quarter '21 and look out for our Form 10-Q to be filed soon. Highlights for the third quarter are as follows. As Jason had mentioned, we paid our 30th consecutive quarterly cash dividend for common shares on March 31, 2021, and declared a $0.05 per share dividend for our fourth fiscal quarter payable on June 30, 2021, which is a 67% increase from the prior quarter. Also, as we had previously announced, actually yesterday that we closed on substantially all of our acquisition of the nonoperated oil and gas minerals and working interest in the Barnett shale for $18.2 million net of preliminary purchase price adjustments. I would add that this is just a preliminary purchase price, and we'll continue to adjust as additional cash flows are received as a result of the typical lag in revenues for nonoperated properties. 
 Total revenues increased 32% over the prior quarter to $7.6 million, and we generated cash flow in excess of the quarterly dividend and ended the quarter with $17 million in cash and no debt. I would also note that the $17 million in cash is net of a $2.3 million deposit we made last quarter for the Barnett acquisition. 
 Finally, we completed the spring redetermination of the credit facility and increase of borrowing base to $30 million. Also, this number does not include any impacts for our Barnett acquisition. The increase in total revenues by 32% for the quarter to $7.6 million from $5.8 million in the prior quarter is primarily due to a 38% increase in oil prices, which averaged $53.52 per barrel. Net production was down 5% this quarter to 1,708 BOE per day. As Jason mentioned, primarily due to the severe winter storm experienced at Delhi in February 2021. 
 However, if you adjust for the downtime we experienced at Delhi, average production would have been approximately 60 barrels per day higher for the quarter. Lease operating expenses increased 20% to $3.6 million in the second quarter compared to $3 million in the prior quarter. This increase is primarily due to an increase of $400,000 for purchase CO2, which represents a full quarter of CO2 purchases at Delhi as a purchase had just resumed in late October of 2020 after the pipeline repair. 
 Also contributing to the increase in purchased CO2 cost is a higher realized oil prices. And keep in mind that the CO2 cost at Delhi is driven by the price of oil. The remaining increase in lease operating costs of $200,000 was primarily due to an increase in the amount of workover activity by our operators in the current quarter. General and administrative expenses remained flat at $1.8 million as increases in acquisition-related legal and tax expense in the current quarter were offset by decreases from certain onetime consulting and legal expenses associated with the company's CFO services this past quarter. 
 To note, we incurred approximately $400,000 in onetime legal and tax expenses this quarter due to acquisition activity. We recorded an income tax benefit of $200,000 in the current quarter compared to a benefit of $3.2 million in the prior quarter, resulting in -- it was a 93% decrease or $3 million. This decrease is primarily attributable to the pretax loss of $15.9 million in the prior quarter due to the impairment that we took compared to a pretax income of $1 million in the current quarter. 
 Net income for the current quarter was $1.2 million or $0.04 per diluted share compared to a net loss of $12.7 million or $0.38 per diluted share in the previous quarter. Again, this increase of $13.9 million is driven by the noncash impairment that we recorded in the previous quarter. CapEx from maintenance and plugging activities was approximately $100,000 for this quarter. As we mentioned previously, conformance work has resumed at Delhi, and we expect this CapEx number to increase for the fourth quarter and full year 2022. We are currently estimating 250,000 to 500,000 for the fiscal fourth quarter and $1.25 to $2 million for fiscal year 2022. 
 As Jason mentioned, the majority of volumes shut in at Hamilton Dome during the low price conditions last year had been returned to production and future reactivations will be considered based on commodity pricing. There have been no updates to our reserves, and we continue discussions with Denbury and look forward to the development of Phase 5 at Delhi, which is still expected to begin in calendar year 2022 or 2023. 
 Working capital decreased by $1.5 million from the prior quarter to $20.1 million. This decrease is primarily attributable to the $2.3 million deposit previously mentioned that we made for the acquisition of the Barnett Shale assets. This deposit was applied to the adjusted closing price of $18.2 million. And we ended the quarter with $17 million in cash after paying out $1 million in dividends and continue to maintain an undrawn credit facility. Now this concludes our review of financial results and operations for our fiscal third quarter ended March 31. 
 I'll now turn the call back over to Jason for final remarks. 
Jason Brown: Thanks, Ryan. I'd like to express how pleased I am with the development of our organization. All companies have had to figure out new ways to conduct their business this past year. But I'm very proud of the resilience of our crew and the culture that we have built with each other. Transactions are never easy. When you operate with a small team as we do to keep our head down, it's even more critical that everyone be willing to wear multiple hats and pull together. 
 This acquisition was a significant step for our company in its economic merits that our shareholders will benefit for many years, but it was also a great vehicle to gel our team. We've had some personnel changes the last year with retirement of our CFO and the appointment of a new audit Chair, and I can't say enough about the quality of our people and how well they have come to work together. I believe that we have demonstrated that we have the infrastructure and ability to source, evaluate and execute transactions, which is what our shareholders need us to be able to do to grow the company in long-term support of our dividend. 
 The M&A landscape seems to have opened up a bit the past few months, pricing, although always volatile and still existing in a supply-demand imbalance, seems to have stabilized enough to generate deal activity and tighten the bid-ask gap in a way that has made transactions possible in some cases. We are seeing a flurry of transactions, both marketed and privately negotiated. We're hopeful that we will be able to add to the successful Barnett Shale acquisition with additional properties over the coming months. We like the diversity of the commodity mix that we now have. But plan to continue to focus primarily on assets that bolster our cash flow in the short-term and long-term support of our dividend without specific bias towards any of the commodities.  
 I will reiterate that we strategically look for additional low production decline, long-lived reserves to add to our assets that will continue to contribute to our dividend for many years to come. We remain in a great position, and I look forward to the future of Evolution Petroleum.  
 With that, I think we're ready to take a few questions. Operator, please open the line for questions. 
Operator: [Operator Instructions]  Your first question is coming from John White. 
John White: And got a lot of good news. Congratulations on the quarter. A lot of good news to talk about, increased dividend. I get the Barnett, jail close, and you got the borrowing base out of the way. So checked off a lot of boxes. 
Ryan Stash: Well, we've been talking about for a while. It was nice to have it all come together, and it did so pretty recently. So very pleased with all of that. We probably -- you mentioned the borrowing base, we probably will have that redetermined once we've now funneled in all the Tokyo gas because that redetermination, obviously wasn't, and that will extend the borrowing base even more. But yes, they were nice to get that done. Anyway, thanks for those comments, John. 
John White: And you mentioned CO2 at Delhi averaged 64.5 million cubic feet per day, and that was up substantially from the prior quarter. And you mentioned you expect that level of injection to continue through the end of your fiscal year. If I -- my memory is working correctly, pre-pandemic wasn't the CO2 injection up in the 80 million cubic feet a day range? 
Jason Brown: Yes, we averaged kind of in the 83 to 85 million a day. That's correct, John. They haven't been able to ramp up to full capacity yet with a series of work that have been done at their Jackson Dome facilities. So the big Jackson Dome facility supports CO2 for a number of Denbury's field. And this seemed to be the year that a lot of things needed to be repaired. So they got the pipeline repaired, but then there are several things at Jackson Dome of their 3 main facilities there, that have gone through essentially a turnaround. And so what has happened is other fields have had to share a little bit. So 71 is not where we want it to be unfortunately, the expected finish of all of that turnaround work, which is about this time, April, May. It's probably not going to allow us to get too much more until the end of the fiscal year. And fortunately, that's in the summertime when you know it gets a little bit warmer. And so we have some miscibility issues. 
 What they've told us is that they plan to ramp-up CO2 as soon as the temperatures start to break in the fall, so probably October. And pretty much all next winter, they plan to ramp-up to about 100 to 110 to beef up reservoir support. Unfortunately, because of the timing of these other repairs and facilities this spring and then the miscibility issue this summer, where you just can't put away that much CO2 in warmer temperatures, we're going to have to probably wait. And so it's probably going to average somewhere in that 70 to 75 throughout the summer. 
John White: Well, that's excellent detail. And let me make sure I understand they're planning to get up in the 100 million, 110 range at Delhi in the fall? 
Jason Brown: Yes. I think most of the winter next year, next spring. So they're planning to do some makeup CO2. It's just taken a while to get there. So yes, I think the capacity, the MAOP would safely operate about 125 million a day. I think that they probably will not push it that much and we'll probably top out somewhere in the 107 to 110. But certainly, we'll be making up some lost time there. 
John White: Again, I appreciate the detail there. On 2022 CapEx, you mentioned a range of $0.125 million to $2.0 million. And with the estimates I have that provide a very nice amount, very large amount of free cash flow. 
Jason Brown: Yes. We agree with that. And it's just a little tough to predict. Tokyo gas, the Barnett Shale, we don't anticipate the current operator spending much CapEx there. However, they -- blackbeard as the operator, and they're going through a sales process now. We thought that, that was the real upside out there with the new operator coming in there with a fresh look and mostly focused on workovers and making some of these better, potentially some refracs and that sort of thing. So we have put a little bit of money in there, but we don't have anything specific, but we're pretty excited about the upside there. I don't think they're going to be standing up rigs or anything like that, but certainly, Denbury has returned to some conformance projects. We're seeing some results of that now. And Ham Dome, a little bit of ESP work to return a couple of those that they haven't returned so far. So I think that number is decent, $1.50 to $2 million for next year. But you're right. You're going to provide quite a bit of cash flow, for sure. 
John White: That was my very next question was CapEx for the Barnett Shale. So you segued into that very nicely. The Barnett Shale, had nothing to do with finance or operations. But with the location, it's very convenient. You can visit the properties and stay in Fort Worth. 
Jason Brown: Well, it's just really nice to be in Texas. We love operating here. It's oil and gas friendly. And that's a basin that's long in the tooth to have dealt with a lot of the regulatory problems long ago. So we're buying the long tail, which feels Evolution ask. And getting back just one more comment on your plenty of cash flow on top of the CapEx. If you look at the last 6 years, this last year was a little funky. But pretty consistently, we've been in the 11% to 12% of our income going back to the CapEx, which is significantly lower than most of our peers because we're focused on the excess cash flow. So I think that we're going to be out the same -- or anticipating the same ballpark for 2022. 
Operator: Your next question is coming from Richard Howard. 
Unknown Analyst: Jason, great quarter, great transaction. Have you thought about how you're going to talk about barrel of oil equivalent in the future, now that you're bringing in gas and gas liquids? 
Jason Brown: Well, unfortunately, the -- I guess we put out a deck that showed how we think about it in terms of value because everything comes back to, what is this going to contribute to our cash flow to be able to pay the dividend. But the industry does the whole 6 to 1 because that's the British thermal unit breakdown. I guess we're still thinking about that. We're about to launch into a reworking the investor deck and probably go out on the road to start telling our story pretty aggressively this summer. We think our current shareholders like it quite a bit, and we're pretty happy and have a good relationship with them, but we need to be able to expand out and get out there. So it's going to be an important thing. Do you have some thoughts on that, Rich? 
Unknown Analyst: Well, I think it's an issue because I personally like the way you described it in the transaction, but it is not the way the industry doesn't. And you may be forced to go the other way. 
 And that's the reason I bring it. 
Jason Brown: Well, it's not an uncommon thing for us to have to invest quite a bit of time on education. We feel like we're a very different oil company to start with. We think that what oil companies are going to need to look like going in the future, the actual cash flow positive businesses that return money to shareholders. So that's part of our story. And I think educating new investors on the value based, the way we look at it, is really what they want anyway. So I think we'll probably have to do both, and I spend quite a bit of time as we do, building relationship with investors. 
 Ryan, you got any thoughts on that? 
Ryan Stash: Yes. No, I agree, Jason. I think as you mentioned, Rich, the challenge is kind of the industry vernacular when it comes to sort of reporting things on an equivalent basis. I mean, I think as we sort of talk to analysts and investors like yourself, we'll obviously be mindful of that and thinking through how to correctly portray the business, especially from a cost standpoint because, as you know, LOE for gas assets is a lot lower on an equivalent basis than oil. So we just need to be mindful and make sure that everyone gets the kind of the right spot as we talk about where we think the business is going. 
Unknown Analyst: Great. Okay. One other low question. So between the time of the effective transaction, January 1 and the closing, is about 128 days. And in that time, the properties generated about $4 million, is that correct? 
Jason Brown: Well, I think it's probably going to be a little shy of that because we had to exclude small amount assets because of dispute with a consent. If Tokyo Gas can get that fixed, we'd love to buy that as well. But I think you're thinking about it right, you saw about a 1.4 adjustment to the purchase price that we listed as preliminary. You'll have to remember that most non-op people get paid a couple of months in the rears. So of the 4 months between the effective date of one month and the closing date of May 7, I think we probably have accounted for a couple of those months. So may not get to the $4 million, but certainly more than what we've recognized so far, if that makes sense. 
Unknown Analyst: And also given that lag, haven't prices significantly increased effectively? 
Jason Brown: Right. So it would be a reasonable assumption without providing too much guidance that the March and April would be a little more than what we saw in January and February. So -- yes. 
Unknown Analyst: Okay. 
Jason Brown: I don't think you're too far off, but $4 million might be a little bit, Rich. 
Operator: Your next question is coming from Erik Volfing. 
Erik Volfing: Congratulations on closing the acquisition and raising the dividend. That's great news. I was just wondering, what were -- can you give you a little more detail on what it was that didn't close as part of the acquisition? 
Jason Brown: Sure. There was a -- there's 4 or 5 fields that are involved here. So it's spread out over 9 counties. There was a field called Alliance that there were some piece of it that were just working interest. Alliance what took you ahead was some royalties in Alliance field, also some working interest in Alliance field. Some of those working interests were subject to a lease that the leaseholder disputed that it was a Tokyo Gas, but it was a pref, and they thought it was a consent. So they're kind of disputing that. And for us, we felt like we just needed to stay out of it. So there are provisions in the PSA to account for that, and we just managed the PSA and excluded those assets and closed on all the rest of it. 
 I will say this, Tokyo Gas -- TG Americas and Tokyo Gas for now. Just wonderful to work with, and these are never easy, and we're very, very pleased to work with those guys. If they can get that resolved, we'd be happy to buy the rest of it. But what it did, it's mostly dry gas. There's no liquids. So you didn't see there our liquid reserves or production affected at all. And actually, the percentage of NRI was actually a little higher because what was left in alliance was more royalties that, of course, don't have cost associated with them. So the proportion that was left out was -- we're okay. We adjusted the process accordingly. 
Operator: Our next question is coming from John Bair. 
John Bair: A couple of questions. CO2 cost appear to be heading up, not just perhaps in your in your operations there, but kind of industry wide. So just kind of a question, is there any -- have you given any consideration or is there any possibility of participating in a carbon capture program that might allow you to reduce the overall cost or even sourcing CO2? 
 I know that's probably kind of early in the game here. And then kind of sidecar with that question, is -- are any of the operators of these fields looking into utilizing green chemistry for enhanced oil recovery or maintenance of field? 
Jason Brown: Well. 
John Bair: A lot of silence there. 
Jason Brown: Well, I mean, it's obviously on our mind. We're focused on the ESG and kind of thinking about the future and what that means for our company. There's about 30% of what Denbury is putting downhole comes from industry. So that's already something that we're getting to participate in. It's not like we have a lot of control being a nonoperated position out there of going and getting CO2 and not purchasing CO2, but getting it from industry. Denbury is already working with that. We have really developed our relationship with Denbury, where we've got a new South regional VP, Kate Ryan. We're excited to work with her and her team as she kind of thinks about that entire region. But not a lot of direct things that we do -- that we can do there until we get into an operated position if that they ever comes. 
John Bair: Okay. But -- so the operators aren't really talking about that or addressing that? 
Jason Brown: No, I think they are. I think it's a big commitment for them. And I think you'll see Denbury get into what they call blue oil in a very big way because, I guess, blue oil is a greener oil or something of the carbon capture, I think, is going to be a big thing for us. We haven't figured out a way to monetize that yet. 
John Bair: Yes. That's what I said it kind of perhaps early in the game right now in that regard. But certainly, everybody know that this announcement or suggestion by Exxon recently about putting together a huge program. So given that in your comments, you're saying that Ham Domes back to profitability, is there any consideration of maybe additional wells or any workovers there that might continue to improve overall production rates? 
Jason Brown: Yes, potentially. I doubt on new drilling, but workovers, for sure. Those guys are really smart, and they've worked during this downtime of COVID and really focused on maximizing the field with the lowest amount of cost. So there's going to be some costs that are captured, I think, in a more permanent way there. They've returned everything that just makes sense to turn back on. There are some wells that haven't been returned, but they need an ESP replacement. And so we need to sort of justify the workover. So it's those workovers that we'll see over the next year, but no massive plans up there. 
 We are looking on a couple of other options. When we got into Ham Dome, there were some larger pipeline scheduled to be up there, Magellan and Tallgrass, we're putting in quite a bit more capacity. Some of that's changed a little bit and been delayed from the last year. So we're looking at some options to get better pricing. but so far, the WCS has really kind of stabilized and tightened the differentials, and we're definitely enjoying that. We expect that to continue lease through the summer. So that's been a pretty nice netback at this point. 
John Bair: Okay. One last quick question on the Barnett. In your press release, you mentioned that the acreage had some potential for new locations and so forth. Any discussion, I mean, you said that not really expecting much increased CapEx that in the near term, but is there any potential fresh locations that could potentially improve the overall production rates? 
Jason Brown: There definitely is. We've got a couple of hundred locations that are mapped out, but I would say probably less than 10% of them would be economic, or attractive. They're economic, but attractive in the way that somebody would go out there and stand up a rig and drill them. Less than about $3.15. If we get gas in kind of $3.15 or certainly a lot more to come if we get to $3.50. So it kind of depends on how bullish you are on gas. I mean, I think the potential there, particularly in the long term, we're not counting on any of it. We certainly didn't pay for any of it. But it's all held by production with no continuous drilling clauses. So it is there and a value for us in the future. 
 The only caveat here, if a new operator comes in, which we anticipate black bear being able to get a deal done, like I said before, I think that most of the CapEx is probably not going to be drilling new wells, but probably, there's all kinds of work here to do for -- to increase production, and we're pretty excited about that. But that's going to be more -- these workover projects are just highly high return, quick return back on your money, they usually work very well. 
Operator: [Operator Instructions] Your next question is coming from Richard Howard. 
Unknown Analyst: Jason, one more question. You reminded me that Hamilton Dome is a Western Canada select producer. And I think the last I saw, those prices were over $50 a barrel, which I think is actually better than when you made the transaction. Have I got that wrong or am I close? 
Jason Brown: No, you've got that exactly right. That's why I said it's tightened a little bit, and we're pretty happy with it. Yes, we've been netting back about 52, I think in April, it was 50, 51.75, something like that, net back to us. So with $30 lifting costs, that's a pretty good margin. Like I said, Ham Dome it's kind of an incomplete last year. Those boys are smart, and they kept us from losing money up there, but this last year just hadn't made a lot. But that thing still pays 12%, 15% of our dividend 10 years from now. That's -- our shareholders are going to be really happy with that field. But yes, you got that right, Rich. 
Unknown Analyst: And on the subject of the cash situation, do you anticipate that we'll build up another $15 million, $20 million of cash before we make the next transaction? Or is that -- give me your thoughts on that? 
Jason Brown: Certainly hope not. We want to put it to work. And we're looking at several deals right now. As I mentioned, there seems to be a stability right now that the people are playing ball like that bid-ask it plagues our industry seems to be in a position, not in all cases, but in some, or you can get some transactions. So we're working pretty hard to make hay where we can. It's -- that's difficult. We're not going to be -- and we're going to be prudent whatever we do. 
 Ryan, any thoughts on that? 
Ryan Stash: Yes. A couple of things, Rich. One, obviously, we basically have still an undrawn credit facility. We drew just -- we drew a little bit just for working capital purpose, but we had enough cash, right, to close kind of the Tokyo Gas acquisition. And we expect this acquisition, along with our base business that throw off quite a bit of free cash flow here over the next few months. So if you take that combined with effectively an undrawn borrowing base, we still feel like we have good liquidity and capacity to go out there and do another deal. And as Jason said, it's going to be -- have to be the right deal, but we still don't feel like we're certainly tapped out at this point. 
Operator: There are no further questions in the queue at this time. I will now turn the floor back to Jason Brown for closing statements. 
Jason Brown: Well, thank you, everyone, for your participation today. Please feel free to contact us with any other questions. I look forward to providing you with an update of our next conference call in September. Thank you.